Operator: Good afternoon. At this time, all participants will be in a listen-only mode. After the presentation, there will be a question-and-answer session. Please note, this call is being recorded. I would now like to pass the conference over to our host, Tina Mirfarsi, Vice President of Global Communications and Culture. Please go ahead.
Tina Mirfarsi: Hello everyone and thank you for joining us for the CarParts.com First Quarter 2023 Conference Call. I'd like to start by welcoming the investors and others who are attending this meeting remotely. Joining me today from the company are David Meniane, Chief Executive Officer; Ryan Lockwood, Chief Financial Officer; and Michael Huffaker, Chief Operating Officer. Before I turn it over to David to start the meeting, I have some important disclosures. Their prepared remarks and responses to your questions could contain certain forward-looking statements related to the business under the Federal Securities laws. Actual results may differ materially from those contained in or implied by these forward-looking statements due to the risks and uncertainties associated with the business. For a discussion of the material risks and other important factors that could affect results, please refer to the CarParts.com annual report on Form 10-K and 10-Qs as filed with the SEC, both of which can be found on the Investor Relations website. On the call, both GAAP and non-GAAP financial measures will be discussed. A reconciliation of GAAP to non-GAAP financial measures is provided in the CarParts.com press release issued today. And with that, I would now like to turn the call over to David.
David Meniane: Thank you, Tina and good afternoon everyone and thank you for joining us. Today, we reported $175 million of sales, our 13th consecutive quarter of year-over-year growth, up 6% from the prior year. On the two-year stack, revenues for the quarter are up 20%. Adjusted EBITDA was $9.4 million. I'm entering my fifth year here at CarParts.com and when I take a step back to look at what our team has accomplished, it is astounding. Over the last four years, our company underwent a full transformation, which has significantly improved sales and adjusted EBITDA. Comparing 2018 to our trailing 12 months, we have seen meaningful improvements across key financial and operational metrics. Specifically, one, we increased revenues by an impressive 132% from $289 million to $671 million. This growth was driven by a relentless focus on technology, inventory forecasting, supply chain, and data science. Two, we nearly tripled gross profit from $79 million to a record $232 million. Gross margin also increased from 27% to 35%. These increases were a result of finding and fixing gaps in the fundamentals of the business, including cost optimization, inbound and outbound freight management, improved global sourcing, assortment planning, and overall supply chain execution. Three, also gross profit per employee more than doubled from $75,000 to $152,000 We did this by realigning our resources and controlling costs, all while creating a culture of high performance and excellence. Four, on the profitability side, we are particularly proud of the significant increase in EBITDA, which has grown by a remarkable 333% from $6 million to $26 million, almost quintupling. This reflects both our commitment to maintaining a disciplined approach to expense management and our focus on driving profitable growth. Five, we have more than doubled book value per share from $0.94 to $2.02, by reducing liabilities and improving the efficiency of our assets. Six, our cash position has also significantly improved increasing by nearly 25 times from $2 million to $49 million. Seven, trade letters of credit and preferred stock outstanding have been reduced from $17.5 million to zero today. Eight, visitors to CarParts.com have more than tripled from 28 million to 100 million. Nine, with our unrelenting focus on improving the customer experience, we have reduced the click-to-ship time in our fulfillment centers from days to just hours. This not only resulted in a notable improvement in customer satisfaction, but also an increase in repeat purchase revenues. 10, our warehouse footprint has doubled. We now have five fulfillment centers, which allow us to reach over 98% of our customers in two days transit time. 11 recently and based on input from our employees, CarParts.com was named one of Los Angeles Business Journals Best Places to Work for the third year in a row. And our Manila office was awarded Best Workplaces, Asia. These are just a few acknowledgements of not only the results we have delivered, but of the extraordinary culture we have built. Fostering a shared mentality of open mindedness, we pride ourselves on being a place where team members feel included and valued. 12, in addition, we published our first corporate social responsibility report. The report is now standing reflection of the company and our commitment to our people and community, the planet, and ethics and governance. 13, lastly, our company's Board of Director is stronger and more diverse than ever. To better reflect our company's customer base, we have put a greater focus on diversity of ethnicity, gender, and age with a wide range of business experience and technical expertise. There's no denying that no matter how you look at it, what the team has accomplished over the last four years is truly remarkable. Our commitment to our customers, shareholders, and employees remains unwavering. As we look ahead, we believe we can continue to drive growth, profitability, and shareholder returns by consistently focusing on the following four areas. Outstanding customer service, every decision we make at CarParts.com starts with the customer. By leveraging our two-step distribution, we are reaching our customers faster than ever, while passing on savings to them. In addition, for our new and returning customers, we recently expanded our buy-now-pay-later option, increasing their purchasing power. As a reminder, over one-third of our ecommerce revenue come from repeat customers and we expect this number to grow over time. Financial discipline, managing resources effectively, controlling expenses, and making sound investments to ensure long-term financial stability and growth is at the heart of everything we do. Given the economic climate, meeting a solid healthy balance sheet is a top priority. Excluding working capital changes, we have generated more cash from operations over the last 12 months than at any point in the company's history. Innovations, we will continue to make calculated bets with new ideas that improve products, services, and processes to better service our customers and stay ahead of our competition. Our goal is to remove the friction from a notoriously burdensome automotive repair process. We're happy with the foundation we have built and are optimistic about what comes next. We have gained tremendous amount of data from our Get It Installed bookings and are using that information to continue developing the program and ultimately, help solve our customers' repair needs. I do want to point out that none of these initiatives materially impact the bottom-line or deviate us away from our focus on financial discipline. Operational excellence. Every day, we are working towards ways to optimize business processes and systems to increase efficiency, reduce cost, and improve customer satisfaction. To give you more color, I would like to turn it over to Michael, who will provide further details on our operating initiatives. Go ahead, Michael.
Michael Huffaker: Thank you, David. First, a quick update on our Jacksonville, Florida fulfillment center. It has now been up and running for one full year and it is meeting network service levels and its share of the company volume. Overall, we have a well-positioned and effective distribution network that exceeds 1 million square feet. I believe we can still improve on our operating leverage by continuing the progress we have been making in the following areas; labor planning and demand wave management; process optimization, warehouse topology and inventory placement; and supply chain technology investments. Units shipped this quarter represented a high watermark for the company and we did it with record efficiency. We continue to be impressed with the commitment of our operational teams and field associates and their dedication to our customers. There are always opportunities for further improvement and greater leverage on our fixed assets will be a key focus over the next 24 months. These efficiencies will be accelerated by the addition of incremental and profitable volume, driven by assortment expansion, as well as continued execution on our strategic roadmap. I look forward to updating you on our success in these areas in the coming quarters. Next, I'd like to turn it over to Ryan.
Ryan Lockwood: Thank you, Michael. In Q1, we generated revenue of $175 million, up 5.7% from $166 million in the prior year period. For the second quarter, like most retailers, we're facing a tougher comparable year-over-year sales. However, the auto parts industry has historically shown to be more resilient than discretionary retail and we expect the second quarter to be relatively in line with the first quarter on a nominal basis. For the full year 2023, we still expect revenues to grow by mid-single-digits, while remaining free cash flow positive and maintaining a robust balance sheet. As mentioned before, we continue to balance growth and profitability to maximize cash flow generation. By leveraging our vertically integrated supply chain, we're providing high quality parts that are significantly less expensive than brick-and-mortar retailers and believe this value proposition will help customers who might be feeling financial pressure. As David mentioned, our buy-now-pay-later options have met customers' needs of flexibility. Usage of these payment methods is increasing, reinforcing our view that this is a tough environment for our customers. While some customers are choosing to defer their repairs, we believe that their return to market is inevitable once consumer confidence rebounds. At that point, we are well-positioned to meet their demands, thanks to our infrastructure, mobile-first customer experience, and diversified assortment. As a reminder, the average age of vehicles on the road today is at a record high of 12.2 years. Gross profit for the quarter was $62.6 million, up from $61.2 million in the prior year. Gross margin was 35.6% of sales, down from 36.8% in the prior year, mostly reflecting higher freight in the current period. GAAP net income for the quarter was $1.1 million compared to $2.1 million in the prior year. For the first quarter, we reported adjusted EBITDA of $9.4 million, essentially flat year-over-year. This was driven by a lower gross margin year-over-year due to higher freight charges. Q1 of 2022 benefited from approximately 120 basis points of lower than usual freight charges. Turning to the balance sheet, we ended the quarter with $49 million of cash and no revolver debt. Our significant cash position highlights the resilience of our business model and we're very proud of the dedication of our entire organization has to financial discipline. The inventory balance at quarter end was $112 million as we reduced on-hand levels due to the better supply chain environment. We expect to rebuild inventory through the remainder of the year by approximately $20 million, in order to get ready for 2024 peak season. We believe we have ample liquidity and have no intention or need to raise capital at current valuations. We continue to focus on self-funded growth. And at the end of Q1, we were undrawn on our $75 million revolving credit facility, which has an option to expand to $150 million, depending on our inventory levels and certain terms and conditions. David?
David Meniane: Q1 2023 marks our 13th consecutive quarter of growth all while building up a robust balance sheet as we continue to focus on flexibility, profitability, and free cash flow generation. In addition, we continue to make investments in the business by putting our customers and team members at the center of our strategy. We believe that doing this will benefit our shareholders in the years to come as we gain market share and grow the intrinsic value of our company. Now, none of this would be possible without the incredible work and commitment from everyone in our global team. You come to work every day, ready to seize each new opportunity. We're grateful and honored to lead such an amazing organization. And as we say at CarParts.com, get after it. I'll now turn it over to the operator and open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Thomas Forte from D.A. Davidson.
Thomas Forte: Great. Thanks. So, I have one question and one follow-up. So, for my first question, David or Ryan, I'd appreciate your thoughts regarding the online penetration for the auto parts category and what gives you confidence it'll increase at a fast rate going forward?
David Meniane: Hey, Tom, it's David. Good question. I think right now what we're seeing is the online penetration for auto parts is somewhere between 4% and 5% and obviously, that's on a $300 billion market, that's growing. The brick-and-mortar seem to be doing well, especially in the professional segment and the B2B, that seems to be what's driving their growth. Obviously, their business model is slightly different from us, but long-term, I think the online penetration growth will be good for us, but I think there's also an opportunity for us to take share. So, there's two levers, right, the size of the pie and how big our slice is. I think the industry is large. I think it's growing. What we need to do is just become a destination. We need to grow our assortment. We need to ship faster. We need to deliver an outstanding customer experience, and we need to get our customers to come back. So, that's how we think about the business in the industry and that's what we're executing again.
Thomas Forte: Great. Thank you for that, David. So, for my follow-up question, I'd appreciate your current thoughts on the competitive landscape. You talked a little there about offline and online, but if you could talk about the competitive landscape offline and online? And then given the news that a former CarParts executive was named Head of an online competitor? Thanks.
David Meniane: Yes, good question. Listen, Tom. At CarParts, we're -- I'll say we're focused on our teams, we're focused on our customers, we're focused on our shareholders, and really building an exceptional business. We have a lot of initiatives that we're working on. We're happy about our past success, but we're also happy about our prospects. And as far as the last question, which is really what you're trying to get to, wish him the best and very happy for him, but we're really focused on building an exceptional business for our shareholders.
Thomas Forte: Great. Thanks. I'll get back in the queue.
Operator: Thank you. Our next question comes from the line of Ryan Sigdahl from Craig-Hallum Capital Group.
Ryan Sigdahl: Good afternoon guys. I want to start with can you talk through monthly trends in the quarter and then also include April and curious within March if weather had any impact on your business?
Ryan Lockwood: So, I think from a weather perspective, we didn't really see much like maybe some of the brick-and-mortar guys. As far as trends as we mentioned, I think what we're looking at for Q2 is something that's going to end up being relatively flat to Q1 on a nominal basis.
Ryan Sigdahl: Maybe a follow-up to that, I guess, what do you think is impacting or causing the deceleration in the business? Normally, Q2 is a little higher than Q1 and then last quarter you commented year-to-date that the business -- or sales were up high single-digits, you reported 6% for the quarter implies kind of a decel into March and then your Q2 commentary, I guess implies kind of that continuing?
Ryan Lockwood: I think there's a few different factors. The major one which we called out a little bit in prepared remarks is the consumer is definitely getting squeezed. So, we see an increase in buy-now-pay-later as one example. But as another example, we are seeing some attrition at the lower end of our consumer base towards what we would call less reputable product on marketplaces that we just won't sell. So, obviously, we're a public company. We have certain quality standards, DOT-approved product, things that we believe are safe for a family to drive in. But -- so we can't really necessarily go continue to go down market for that low end of the consumer. Our focus really is on now capturing consumers that are trying to shift away from say brick-and-mortar, which is more expensive and they still want a quality part, but maybe don't want to pay, a 100% more for it.
Ryan Sigdahl: Then just moving over to marketing, commented in the press release, your reduction in marketing. I guess where are you seeing the most efficiencies there? And then do you think those reductions are sustainable going forward?
Ryan Lockwood: Yes, go ahead, David.
David Meniane: Yes, good question. Yes, we're definitely -- we've been more disciplined about where we allocate dollars. And I think we've talked about this in the past, we're always trying to maximize for net profit dollars after freight, after customer acquisition cost, and after fulfillment, every customer cohort kind of behaves in a different manner and the different channels react differently. But I'd say, yes, in Q1, we were a little more aggressive on our marketplaces customer, which seems to be reacting really well and so we toned down the marketing spend on ecommerce. Now, obviously, it's at SKU level, it's category-by-category. But to your point, we spent less in Q1 of this year than we did last year.
Ryan Sigdahl: Last 1 and then I'll turn it over to the others. The comment on free cash flow, just clarification there, is it positive going forward implying Q2, Q3, Q4 are positive free cash flow or positive for the year inclusive of the $30 million you generated in Q1?
Ryan Lockwood: Yes. So, when I think of free flow, I generally am not thinking about working capital because obviously, even though it feels great that we have $50 million of cash, a lot of that did come from working capital improvements, some came from pure operations. So, on a purely operational basis, we're expecting to generate between $8 million to $12 million of actual real free cash flow for the year. And then from a working capital basis net-net, you're probably looking at $10 million, because as I mentioned in the call, we've burned off quite a bit of inventory, but we need to reinvest around $20 million to get ready for next year's peak season. As far as cadence goes, Q4 is generally burning cash just because margins are tighter and revenue is a little bit lower. But Q1, Q2, Q3 should be free cash flow positive.
Ryan Sigdahl: Thank you. Good luck guys.
Operator: Thank you. Our next question comes from the line of Dylan [Indiscernible] from ROTH MKM.
Unidentified Analyst: Hey, thanks for taking the question. First, I want to start with some of the commentary on 2Q. Revenue being sort of in line with 1Q nominally, so is that roughly flat year-over-year growth? Like what sort of things are you working on or what gives you confidence you can get back up to your sort of mid-single-digit, I guess, goalpost that you've laid out, just given the second half of the year is typically a bit softer seasonally for your business?
David Meniane: Yes. Good question, Ryan. I think we're doing a lot of things right then between the supply chain, the technology investments, and the team that we've built, obviously, our customer is not immune to inflation and we're seeing some pressure from the macro. Now, Q1 was a record first quarter for us. We really focused on building out kind of the balance sheet. But to your point, we do have a couple of things that we're working on to kind of reaccelerate that growth. Number one, it's early, but we're expanding our assortment to adjacent categories. We're making some technology investments to make our website more user-friendly and improve conversion. We have a number of marketing initiatives that are currently in the works around social media. We just launched a series of instructional videos on YouTube. So, there's a number of things that we're working on that we think will drive additional growth. And obviously the goal is still to grow for the full year, still to generate some free cash flow, and be disciplined about our growth, but generate -- protect the balance sheet.
Unidentified Analyst: Great. Thank you. And as a follow-up, could you sort of provide an update on EVs and sort of your initiatives with electric vehicles, maybe what percentage of sales in the quarter came from EV?
Ryan Lockwood: Yes, I mean, I can give you kind of some high level data. Right now our customer basis -- our customer base is around 3% EV drivers. So, that kind of reflects our level of sales. Now over time, as we get more customers that drive EVs, our assortment will expand and our sales coming from EV parts will grow. So, today, it's around 3%.
David Meniane: One call out, at least from what we've looked at internally on mix percentage, over 90% of our sales are agnostic to the powertrain. So, if you think about a Tesla, it still has headlights, door handles, air conditioning compressor, things like that. So, as we shift to EV, you shouldn't see that much change in anything.
Unidentified Analyst: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Ryan Myers from Lake Street Capital Markets.
Ryan Myers: Hey, guys. Thanks for taking my questions. I know that you talked a little bit last quarter about the number of bookings in the Do It For Me offering had doubled. Just curious how you saw that here in Q1, how that business is progressing. And then maybe if you expect to see any sort of contribution here in 2023 from that?
David Meniane: Yes. Let me pull up that number for you for DIFM. I think for us, the way we look at it is it's always been a test and learn. So, what we're trying to do is add new capabilities, find out customer pain points, solve the customer pain points, and iterate on what can we do to improve that customer experience. So, we have a lot of things in the pipe that are very exciting and I'll keep you guys up to date as we roll them out. Bookings -- total bookings for Q1 was about 2,268.
Ryan Myers: Okay. Got it. And then I know David, you kind of talked about this a little bit. Ryan, you also did as well. You said you're going to be adding about $20 million more in inventory. But now that you guys have this pretty sizable cash balance, where are some of the biggest areas that you think you can reinvest in the business?
Ryan Lockwood: Yes, definitely a lot of different areas. Now, we're trying to be very disciplined and play defense with the balance sheet So, for me, we need an offensive mindset around growth, topline, and bottom-line and free cash flow. But as far as the environment is concerned, we want to make sure that we maintain kind of a healthy balance sheet just to make sure that we're ready in case the market changes around us. But definitely investments around assortment, technology, and marketing, but what we're doing is we're making sure that all these investments are self-funded. So, we want to flow the majority of the investments from the P&L and not use our cash too much. So, the cash should be used for inventory. But as far as the rest of the investments, they should come from the P&L and they should be self-funded.
Ryan Myers: Got it. Makes sense. Thanks guys.
Operator: Thank you. Our next question comes from the line of Thomas Forte from D.A. Davidson.
Thomas Forte: Great. A couple follow-up questions. I'll try to group them. So, the first follow-up question is I was wondering if you had a specific return on invested capital target for your investments? And then would appreciate your current thoughts on capital allocation, including buybacks? And then I'd also love to hear your current thoughts on strategic M&A? And then I have another question after those.
Ryan Lockwood: Sure. So, I mean, I think the historical ROI from we've opened DCs has been very, very, very high in the 20% or 30% range. Obviously, I think anything over mid to high teens is a good ROI, but obviously, it always has to be risk adjusted. So, for me coming from the buy side, it's not just a regular ROI, capital is limited. So, you have to always compare what are your options? Is this going to be a front end investment? Is it going to be optimizing the warehouse? Is it going to be something that lowers your return rate? And so we actually stack rank all of our potential projects. And then the executives come through and chime in, and then David does a final, I guess, prioritization of where we're going to spend our money for the year. As far as buybacks, we think the stock is very undervalued here. But obviously any repurchases are subject to Board approval. And then I think I'll let David take that last part.
David Meniane: Yes. I think M&A is always an -- it's an interesting. I think our space is big enough for us to play in. I think we have a lot of internal initiatives that we're working through. Supply chain, technology, marketing, we have a lot of work to do internally to drive growth. And so in this environment with this amount of uncertainty, we'd rather just stay focused exclusively on the business. We want to block and tackle Today, we're in a spot where we're free cash flow positive. We're debt-free. We have positive unit economics and about a third of our e-comm revenues come from repeat customers. So, there's plenty of opportunities for us to improve that and grow the business even more. So, for me, M&A is interesting, but more of a distraction in this environment.
Thomas Forte: Great. And then last question, I promise. So, maybe without saying specifically the individual company names, I love your high level thoughts in your marketplace sales. When I look at Amazon in particular, they seem to be doing things that are kind of unusual for Amazon. They're managing expenses tightly, things of that nature. So, again, you may not have to explain what's Amazon with eBay, but at a high level, can you comment on your marketplace sales?
David Meniane: Yes, I mean if you look at the breakdown, which we break out in the Q, for Q1 -- 2023 Q1, so our marketplace of sales were about 35%. So, historically, it's hovered around about a third of our business. I think for me, the way we think about our business, it's more of an omnichannel play, which is built on top of infrastructure for sourcing, for private label, for logistic, and supply chain. And so we sell on our own platform, but we also sell on eBay. We also sell on Amazon. We sell over the phone, which is a very profitable channel for us. We also sell B2B. So, to the extent we can leverage our sourcing capabilities, our supply chain capabilities, we're going to invest and maximize each channel on its own. Right now the marketplaces are attractive, they provide a good return on investment. They're aggressively marketing auto parts and so we benefit from that. Now, long-term, there's an opportunity to grow e-comm and there's also an opportunity to grow our B2B channel and phone channels. But today, the marketplaces are aggressively investing in customer acquisition and so we benefit from that and so that's a great thing. We can take the customer wherever they shop. And so in a difficult environment, we see some customers trading down and looking for just more aggressive pricing and so marketplaces are a good opportunity for us.
Thomas Forte: Great. Thank you, David. Thank you, Ryan.
Ryan Lockwood: Thanks.
Operator: Thank you. Our next question comes from the line of Ryan Sigdahl from Craig-Hallum Capital Group.
Ryan Sigdahl: Hey, guys. Just one follow-up kind of as you've been talking, just a lot of cautiousness, I guess, seemingly in the near-term on the consumer. I guess what do you think is deviating your consumer relative to the big land-based peers? I mean O'Reilly, had more constructive commentary and sales were growing faster, which is normally relative to you guys for the last couple of years. So, curious what you think is going on there and then customer or I guess business related?
Ryan Lockwood: Sure. So, I think O'Reilly, their commentary was actually the DIY was a little bit slower and then the dare B2B kind of commercial business was what was holding up and they had some comments here that that's been well. My -- and I don't have proof, but my thought would be that they're taking business from -- their customers are taking business from dealerships as people try and save money. Also, we do know for a fact that a lot of jobbers and smaller wholesale distributors were very stressed from the overall environment and have gone out of business. So, we think that's more of a share gain on that commercial side. I think if you look, [Indiscernible] released today. On an organic basis, they had a low single-digit revenue growth rate. I think if you look at -- I think it was GPC maybe had on an organic basis kind of that single-digit growth rate. So, I think most people are trending more towards this as a market.
Ryan Sigdahl: Thanks guys.
Ryan Lockwood: Thanks.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.